Operator: Good day and thank you for standing by. Welcome to the Charter's First Quarter 2022 Investor Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions]. I will now hand the conference over to your first speaker today Stefan Anninger. Sir you may begin
Stefan Anninger: Good morning and welcome to Charter's First Quarter 2022 Investor Call. The presentation that accompanies this call can be found on our website ir.charter.com under the Financial Information section. Before we proceed, I would like to remind you that there are a number of risk factors and other cautionary statements contained in our SEC filings including our most recent 10-K and also our 10-Q filed this morning. We will not review those risk factors and other cautionary statements on this call. However, we encourage you to read them carefully. Various remarks that we make on this call concerning expectations, predictions, plans and prospects constitute forward-looking statements. These forward-looking statements are subject to risks and uncertainties that may cause actual results to differ from historical or anticipated results. Any forward-looking statements reflect management's current view only and Charter undertakes no obligation to revise or update such statements or to make additional forward-looking statements in the future During the course of today's call we will be referring to non-GAAP measures as defined and reconciled in our earnings materials. These non-GAAP measures as defined by Charter may not be comparable to measures with similar titles used by other companies. Please also note that all growth rates noted on this call and in the presentation are calculated on a year-over-year basis unless otherwise specified. On today's call, we have Tom Rutledge, Chairman and CEO; Chris Winfrey our COO; and Jessica Fischer our CFO. With that let's turn the call over to Tom.
Tom Rutledge: Thank you, Stefan. We continue to grow our business by offering superior converged connectivity products. During the quarter, we added 129,000 customer relationships and 185000 Internet customers. Customer relationship churn remains low due to current consumer behavior while connect activity opportunities also remain low as a result. We continue to see very strong mobile line growth with net additions of 373,000. Over the last year we've grown our mobile lines by nearly 50%. We now have over 4 million total mobile lines Financials were also strong in the first quarter. First quarter revenue and EBITDA each grew by 5.4%. And when excluding a one-time payment free cash flow grew by 9% year-over-year. As always we remain focused on our primary goal of driving customer growth and market share leading to higher free cash flow. We're doing that in a number of ways including, expanding our footprint with good returns on investment, upgrading our network to ensure that we're offering our latest and fastest high-quality connectivity services and continuing to invest in high-quality customer service and finally investing in the mobile business to drive convergence of fixed and mobile connectivity products and earn a higher share of monthly household communication spend by saving customers money. Our rural construction initiative is also progressing as planned and we've started to work in all 24 of the states where we won Rural Digital Opportunity Fund bids. Our multiyear multibillion-dollar rural construction project will deliver gigabit high-speed broadband access to more than 1 million unserved rural customer locations across the country. Through RDOF, we'll add over 100,000 miles of new network infrastructure to our approximately 800,000 existing miles over the next five or so years. And our construction is not limited to RDOF commitments. We continue to build in other rural areas and are pursuing opportunities to receive other broadband stimulus funds. In addition, we regularly expand our network to additional residential SMB and enterprise passing, wherever it's economically attractive. Ultimately, our rural construction initiative is not only good for the millions of rural customers that will finally have access to fast and reliable Internet, but its also good for Charter and its shareholders. The expansion of our footprint will help us drive additional customer growth by growing customers in un-served and underserved areas. Demand for our customers for greater connectivity speeds and data throughput continue to grow at a very fast pace. During the quarter, Internet customers, who did not buy traditional video from us used approximately 700 gigabytes per month, more than 35% higher than pre-pandemic levels. And nearly 25% of those customers now use a terabyte or more of data per month. To meet that growing demand, we're both expanding the capacity and reallocating capacity within our network. And the technology to both expand and reallocate plant bandwidth is developing rapidly. Today, we're implementing high splits of what we prefer to call spectrum splits, which allocate more plant capacity to the upstream, all using our DOCSIS 3.1 infrastructure. In turn, we're able to offer our customers higher symmetrical speeds and multi-gigabit speeds. Additionally, by expanding and reallocating plant capacity, we reduced our network augmentation capital spending, including no split spending going forward. And the vast majority of our deployed modems are already spectrum split-capable, allowing us to provide faster service to our existing customers, without swapping out their CPE. We've been increasing the number of spectrum split projects in our service areas and we'll continue to do so. And as the technology develops further, we'll shift our strategy dynamically to further expand the capacity of our plant and reallocate bandwidth as necessary to meet customer needs by deploying additional technologies, including DOCSIS 4.0, which will allow us to deliver even greater capacity offering consumers the fastest and lowest latency connectivity products in a highly capital-efficient way, driving customer and market share growth and free cash flow. In mobile, we continue to improve and enhance our products in a number of ways, differentiating our offering helping to drive customer growth, and improving mobile business economics. In April, we began the market rollout of mobile speed boost. Mobile speed boost allows Spectrum Mobile customers to receive speeds up to one gigabit per second on their Spectrum Mobile service devices, when inside their homes even when their provisioned wireline Internet speed is less than a gigabit. The rollout of our first trial of our CBS small cells in full market area continues to progress nicely. In the first quarter, we completed the build-out of our mobile core network for the upcoming trial. We expect the trial to begin in the middle of next year and to offer faster speeds, a better all mobile experience, all the while saving us costs. Ultimately, with our mobile product, we're offering to consumers a unique and superior fully converged connectivity service package, while saving customers hundreds or thousands of dollars per year. And our share of household connectivity spend, including mobile and fixed broadband is still very low. In fact, we capture well less than 30% of household spend on wireline and mobile connectivity within our footprint. So there's a large opportunity for us to increase market share by saving customers money. And through our latest offering, we can do that, which in turn raises connects, reduces churn and drives customer growth. Before turning the call over to Jessica, I wanted to make a few comments about the joint venture with Comcast that we announced earlier this week. Our joint venture will provide video, delivered by apps, a competitive app store, on-TV applications and is capable of aggregation, navigation, search and curation, billing and content security. It will give consumers new devices and content providers new opportunities to create customer relationships on a platform designed to help them sell video effectively. Comcast has created excellent IP for this venture and we have high expectations that we can work together to continue its development and distribution. We have a history of success in our mobile JV operating systems, demonstrated by the fact that between our two respective mobile businesses we added more mobile lines in the first quarter of this year than the rest of the mobile industry added collectively. Now, I'll turn the call over to Jessica.
Jessica Fischer: Thanks, Tom. Let's now turn to our customer results on slide five. We grew total residential and SMB customer relationships by 129,000 in the first quarter. Including residential and SMB, we grew our Internet customer relationships by 185,000 in the quarter. We continue to see record low combined competitive and move churn, which has reduced our selling opportunities and very low non-pay churn across our footprint. Similar to the fourth quarter, we saw both lower Internet churn and lower Internet connects than in the first quarters of 2021, 2020 and 2019. And this was true across our footprint regardless of computing technology. Turning to video. Video customers declined by 112,000 in the first quarter. Wireline voice declined by 150,000 and we added 373,000 mobile lines. Despite the lower number of selling opportunities from reduced activity levels, we continue to drive mobile growth with our high-quality attractively priced service. Moving to financial results starting on slide six. Over the last year we grew total residential customers by 674,000 or 2.3%. Residential revenue per customer relationship increased by 1% year-over-year, driven by promotional rate step-ups and video rate adjustments that pass through programmer rate increases. These effects were partially offset by the same bundle and mix trends we've seen over the past year, including a higher mix of non-video customers and a higher mix of low-priced video packages within our base. Additionally, this quarter's revenue was negatively impacted by $20 million in adjustments related to sports network rebates, which we intend to credit to qualified video consumers. These rebates are also reflected in lower programming expense this quarter, with no impact to adjusted EBITDA. Excluding the impact of sports network credit I just mentioned, our residential ARPU grew by 1.2% year-over-year. Also keep in mind that our residential ARPU does not reflect any mobile revenue or video programming pass-through increases announced late in the first quarter. As slide six shows, residential revenue grew by 3.7% year-over-year and by 3.9% year-over-year, when excluding the sports network credit. Turning to commercial. SMB revenue grew by 4.6% year-over-year, reflecting SMB customer growth of 4.4%. Enterprise revenue was up by 3.7% year-over-year. Excluding all wholesale revenue, enterprise revenue grew by 6.5% and enterprise PSUs grew by 5.2% year-over-year. First quarter advertising revenue grew by 11.5% year-over-year or by 5.1% excluding political revenue, primarily due to our growing advanced advertising capabilities. Mobile revenue totaled $690 million with $292 million of that revenue being device revenue. Other revenue increased by 5.2% year-over-year and includes two months of rural construction initiative subsidies totaling $19 million. In total, consolidated first quarter revenue was up 5.4% year-over-year. Moving to operating expenses and EBITDA on Slide 7. In the first quarter, total operating expenses grew by $410 million or 5.4% year-over-year. Programming costs declined by 0.4% year-over-year, due to a decline in video customers of 2.1%, a higher mix of lighter video packages, a $20 million benefit related to sports network rebates that I mentioned and $34 million of other favorable adjustments, much of which was not unique year-over-year. All of that was mostly offset by higher programming rates. Excluding both of the adjustments I just mentioned, programming costs grew by 1.4%. And looking at the full year 2022, we now expect programming cost per video customer to grow in the low to mid single-digit percentage range versus mid single-digits previously. Regulatory connectivity and produced content declined by 7.4%, primarily driven by lower Lakers RSN costs, lower video CPE sold to customers and lower regulatory and franchise fees. The decline in Lakers costs was primarily driven by the delayed start to the NBA season in 2020, which drove more Lakers games charges into Q1 of 2021, making for an easier comparison this year. Excluding the RSN costs from both years, regulatory, connectivity and produced content declined by 5.6%. And for the full year 2022, we expect regulatory connectivity and produced content expense to decline in the mid single-digit percentage range versus 2021, primarily due to lower video CPE sold to customers and lower RSN costs given the abnormal Lakers game scheduled last year. Cost to service customers increased by 5.3% year-over-year. The increase was primarily driven by higher bad debt given unusually low bad debt in the first quarter of 2021 when bad debt was down $100 million versus the first quarter of 2020, benefiting from the government stimulus packages. In fact, payment trends in the first quarter continue to be very good. And excluding bad debt from both years, cost to service customers grew by 1.8%, primarily due to a larger customer base, previously planned wage increases to $20 per hour starting wage, for hourly field operations and call center employees and higher health benefit and fuel costs. As the year progresses, prior year bad debt expense normalizes and should drive meaningfully slower growth in cost to service expense line during the second half of the year. Marketing expenses grew by 10.1% year-over-year due to higher labor costs, driven by previously planned wage increases and temporarily greater staffing levels, as Charter completes the in-sourcing of its inbound sales and retention call centers with a focus on providing better service to new and existing customers. For the full year 2022, we expect marketing expense to grow in the mid single-digit percentage range versus 2021, although marketing expense growth is likely to remain at elevated levels in the second quarter. Mobile expense totaled $760 million and were comprised of mobile device cost tied to device revenue, customer acquisition and service and operating costs. And other expenses increased by 12.5%, primarily driven by a favorable non-recurring adjustment in the prior year period making for a challenging comparison this year and higher labor costs. Adjusted EBITDA grew by 5.4% year-over-year in the quarter. A quick note about inflation before moving on to net income. Certain costs of operating our business such as labor and fuel costs are currently subject to inflationary pressure. But given our previously planned move to a $20 per hour starting wage and our long-term relationships and contracts for goods and services, we haven't yet seen a significant impact on inflation in our P&L. I would also note that our consumers are experiencing inflationary pressure but given the availability of subsidies for broadband and our focus on saving customers hundreds of dollars per year by switching to our converged connectivity product, we believe we are well positioned for the changing market. Turning to net income on Slide 8. We generated $1.2 billion of net income attributable to Charter shareholders in the first quarter versus $800 million last year. The year-over-year increase was driven by a non-recurring litigation settlement charge in other operating expenses for the first quarter of 2021 and higher adjusted EBITDA. Turning to Slide 9. Capital expenditures totaled $1.9 billion in the first quarter just above last year's first quarter spend of $1.8 billion. We spent a total of $232 million on our rural construction initiative in the quarter. Most of that spend relates to design, walk out and make ready and as expected has not yet resulted in significant passings growth. And the vast majority of that spend is accounted for in line extension. We spent $74 million on mobile-related CapEx, which is mostly accounted for in support capital and was driven by investments in back-office systems. As Slide 10 shows,, we generated $1.8 billion of consolidated free cash flow this quarter, a decrease of $55 million or 3% year-over-year. Excluding a one-time litigation payment of $220 million made in the first quarter free cash flow grew by $165 million or 8.9% year-over-year. Please note that in the second quarter we'll begin making quarterly cash tax payments for fiscal year 2022. These payments are consistent with the cash tax outlook that we provided in our fourth quarter investor call. We finished the quarter with $94.9 billion in debt principal. Our current run rate annualized cash interest is $4.4 billion. As of the end of the first quarter our ratio of net debt to last 12-month adjusted EBITDA was 4.43 times. We intend to stay at or just below the high end of our four to 4.5 times target leverage range. During the quarter, we repurchased six million Charter shares and Charter Holdings common units totaling about $3.6 billion at an average purchase price of $600 per share. And since September of 2016, we've repurchased $60.4 billion or nearly 42% of Charter's equity. Our path to continue to grow our business remains strong and we will do that by furthering convergence in our connectivity business allowing us to capture additional share, focusing on expanding our footprint and by continuing to improve the customer experience and extending customer lives. By executing on those items we will drive customer and share growth, free cash flow growth and shareholder value. Operator, we're now ready for Q&A.
Operator: Thank you. [Operator Instructions] And your first question will come from Craig Moffett with Moffett. Your line is open.
Craig Moffett: Hi. Thank you. Well, I have a few questions, if I could. First, with respect to broadband the pace of homes passed excluding RDOF decelerated a little bit. I'm wondering, if you can just talk about, the rate at which you expect homes passed for broadband to grow and how you think about that as a floor for broadband growth rate going forward? And then with respect to the JV that you announced with Comcast, is there a vision where you take the Flex box and actually make it your primary video delivery platform, where all your video is IP and that you sort of reclaim that capacity? And then finally, one related question Tom. I sort of – I can't resist asking if you just want to comment on password sharing, and a little bit of an I told you so.
Tom Rutledge: Yeah. Well, yeah, I did tell you so. So yeah, Craig, the pace of broadband homes passed, I think is an interesting driver of potential growth. And you're right to point it out. Over the last five years or so we've added about one million passing's a year. And that's comprised of new construction of housing developments plus fill-in, plus plant expansion into areas where it's economic to serve passing's that are contiguous to some of that development. And so that's a driver of future growth. There's really four drivers that drive the future growth of our broadband business, and that's a significant one. Another one is the household in growth – the growth in households using broadband, which is today in the mid-80s. But I think that will continue to increase as digital literacy increases and people continue to want to be part of the connected world. And so I think that moves up to the vacancy rate over time. And we also have then this whole RDOF opportunity, which we've just begun to develop. We've just started to activate the subsidized plant expansion through RDOF. And we've actually won quite a few bids at the state level. And there's $42 billion of additional funding that's going to be distributed probably next year for additional expansion into rural areas and that's an opportunity of growth for us. And then finally, we have the opportunity of – which we expect to realize the opportunity of increasing our share of market of existing broadband customers. And we can do that by packaging, which we've always done successfully, our products and into a value proposition that's better than what the individual component pieces that they're currently buying from various providers. And so the current mobile growth is a key factor in that opportunity. So that's how we expect to grow it. And what's going on in the homes passed marketplace? I mean there are construction issues going on right now. There are supply chain issues that are affecting activations of housing developments and that kind of thing. But over the longer term, I think that that pace that we've experienced over the last five years continues. The second part of your question about the JV and IP, yeah, yeah. The answer is yes. I expect that incrementally most of our customer base will be all IP and that Spectrum will be recaptured. And that's currently used over time and there's various ways of compressing that Spectrum as you market your way into the IP space. And that plant capacity that's being realized will be available to increase broadband speeds and/or handle broadband capacity that's required as a result of the use of overall data. And lastly on password sharing, yeah. We knew it's a problem. It's not just a problem for the company that's not controlling their passwords, but it's a problem for everybody in the industry because all that content that's used without anybody paying for it affects the supply and demand of all content, not just the provider that's selling the content, which diminishes the value of content for everybody, which is the point we have been trying to make for years. So, next question?
Stefan Anninger: We will take our next question. Thanks.
Operator: Your next question will come from Jonathan Chaplin with New Street. Your line is open.
Jonathan Chaplin: Hi, good morning guys. Thanks for taking the question. I know traditionally you prefer not to give context around sort of like a forward-looking view of the broadband market. But given that we're just in an environment of heightened uncertainty, I'm wondering if you'd stray from your normal policy and at least give us some more context for what you're seeing from -- in the market generally in terms of the move activity as we came out of 1Q into 2Q. Competition, are you seeing an impact now that's more discernible from fixed wireless broadband? And has that changed over the course of the quarter going into 2Q? And then how should we think about seasonality off of the results that you guys just produced in 1Q, should we think of seasonality through the year as being the normal trend? Thanks.
Tom Rutledge: Look Chris why don't you take that?
Chris Winfrey: Hey, Jonathan, we expected a question along these lines and I have some thoughts. We expected the market to return to normal actually last year including seasonality. So difficult to say. But as Jessica mentioned transaction volume in the market, it remains low particularly move return, which is a key source of net subscriber acquisition for us. There are some facts that put our lower year-over-year growth in context. Our churn rates of all kinds and across all footprint types remains at record lows. The pace of gigabit overlap increases within our footprint, so far has remained consistent with the past few years, despite commentary about acceleration. So we have competition everywhere we operate, and we always have. And our largest wireline competitor had negative residential wireline net additions in the quarter, where we continue to grow. So compared to last year's first quarter with already low market activity, our gross addition rate in the first quarter of this year was lower in both overbuild and our non-overbuild footprint by the same amount. Together with record low churn, this illustrates the biggest driver remains lower selling opportunities from overall market activity and churn. Jonathan, there are additional factors which could also contribute to lower gross addition rates. First, lower household growth rates, Tom just talked about, which we along with others have seen. There's still a lingering pull-forward effect from the shift to our higher-quality broadband during the pandemic. It comes from DSL, VDSL and mobile-only customers, which accelerated the conversion rates of that same base, which we would have seen today. Finally, the mix-related impact of a small increase and more competitive overlap on gross addition rates would be the smallest contributor, and really no different than what we've seen in the prior years. We do not see -- I know, it's a question. We don't see direct impacts from fixed wireless access in our churn or our gross additions. So does that mean could fix wireless access be converting DSL and mobile-only customers that would normally come to us? It's possible and it would be hard to see it load volume across our entire footprint. But we would see that as a potential parking lot for conversion to our faster, more reliable and more ubiquitously marketed and deployed broadband offering. So we take all competition seriously and it's not new for us. But I don't believe fixed wireless access is having any material impact on us today when compared to the factors I mentioned. So, overall activity levels remain low, and we will trial different tactics to stimulate more competitive churn, but market activity and move return will return. And when it does, we expect our Internet net addition rate to normalize. Our already very strong mobile line growth should get even better with higher attach and upgrade rates to the fastest and really the only real converged Internet product in our footprint that also saves customers significant money. As Tom mentioned, our various construction initiatives should provide a larger recurring footprint expansion for customer acquisition, as we get to the end of this year. So I don't have a guidance or an outlook. But I think those are the biggest drivers of what we're seeing today and hopefully that's helpful to the question you asked. 
Jonathan Chaplin: That's really helpful. I appreciate it, Chris. 
Chris Winfrey: Yes. 
Stefan Anninger : Thanks Jonathan. Peter, we’ll take our next question, please.
Operator: Your next question will come from Brett Feldman with Goldman Sachs. Your line is open.
Brett Feldman: Yes. Thanks for taking the question. You've obviously continued to show great traction with the wireless net adds even as your selling opportunity against customer gross adds has gone down. So it looks like the recent adjustments you've made to pricing and packaging is resonating with the base. You're still going to market differently than the big three. They increasingly are looking at things like handset promos, they tack a lot of value into their higher tiers, whether it's tethering or true unlimited or video. So I guess I'm just wondering, how are you thinking about whether it makes sense to start going after the wireless consumer who values those things and the assessment you're doing as to whether the additional costs you incur would ultimately be worth it? And does that math start to change if you were at the point where you actually were putting a more significant amount of their macro traffic onto a CBRS network? Thank you.
Tom Rutledge : Yes. Well, I think the -- Brett the answer to your question is we will use those tactics that make economic sense to us to drive our business and to drive our relationship growth in this mobile broadband space. And the -- as I said in my comments we have very good growth and we have greater growth than the rest of the mobile industry currently. So, we're on track and doing the right things currently from a marketing perspective and we think we can accelerate that growth. So, there are various tactics that you see people who sell wireless do and they're all related to trying to create a value proposition for customers and some of them cost more than others. Fundamentally, we think that our CBRS and our WiFi offload continue to allow us to have low-cost mobile products with high capacity available to our customers which gives us the ability to sell those products at value propositions for consumers, which ultimately is what we think drives our ability to shift -- drive market share. So we -- I don't put any marketing tactic on the side and say we won't do it or because we're not doing it today we won't do it in the future. But our fundamental strategy is to use our network effectively and provide a high-quality best-in-class service better than anyone else in fact right now in terms of speed capability and sell that for a lower price. And we think that that value is what consumers will ultimately recognize. How we package that up in various marketing tactics I think is open to what is successful. And we constantly experiment with marketing tactics to see what resonates best. But we think the core concept is the driver of our opportunity.
Chris Winfrey: Brett a good example of that we do -- we have a premium plus $10 package in our mobile. So, even that at $39.99, so our standard is $29.99 when you take two mobiles or more. But at $39.99 the impact the take up on is very low. And the reason it's very low is for the reason that Tom just mentioned. Already they get the fastest mobile product in the country through the standard limited offer that we have at $29.99. And because our network works better together with WiFi and you've got 85% offload with the nation's fastest broadband and therefore the nation's fastest mobile there really hasn't been much of a need or a desire even at that attractive price point to take what you would call a premium product.
Brett Feldman: Thank you.
Stefan Anninger: Peter, we'll take our next question please.
Operator: Your next question will come from Phil Cusick with JPMorgan.
Phil Cusick: Hi guys. Thanks. A couple if I can. First I think Tom you said the mobile network trial is now in mid-2023. Is that right? And is that delayed? And what does that mean for CapEx this year -- for mobile CapEx?
Tom Rutledge: No, it's not -- it's mid this year. If I said that, I didn't mean it. It's mid-2022.
Phil Cusick: All right. That makes sense. Maybe I misheard. And then second of all have you started to book RDOF revenue? And how quickly should we see that revenue come in from here? 
Tom Rutledge: Yes Jess?
Jessica Fischer: Yes, we did start booking RDOF revenue in Q1, Phil. They're two months in for the total of $19 million. And the run rate on the RDOF booking will be at that. So it gets booked in over the 10-year period that we receive the funds. So we'll have it at that just over $9 million a month from now until 10-years from now.
Phil Cusick: Great. Thanks very much guys.
Stefan Anninger: Peter, we'll take our next question please.
Operator: Your next question will come from Jessica Reif Ehrlich with BofA Securities.
Jessica Reif Ehrlich: Okay. Thank you. I have two questions. A follow-up on the Comcast JV. I think the press release said that you guys are investing $900 million. Over what time period is that? And how do you expect to monetize the offer? I think it starts next year. Is it mostly advertising or revenue split? And then your margins on the cable side are over 42%. Where do you think peak cable margins will be?
Tom Rutledge: Well, the opportunity Jessica is to create advertising revenue and to create transaction revenue on the product. And so those are the money drivers. And that requires obviously having full set of content opportunities and using your IP and your marketing skills in the digital space to drive consumer activity and viewing. And so that's the opportunity from the platform from a monetization perspective. Our capital commitment we haven't disclosed that. But it's in the grand scheme of things from a development point of view it's relatively minor, especially when you consider the CPE business that we've always been in where we've actually had to buy CPE. This in many cases will be a retail product. So -- and lastly…
Jessica Fischer: The last one was a question on margins and where we think
Tom Rutledge: Yeah.
Jessica Fischer: …margins ultimately could go. I mean it's hard to comment on margins in the context of our business because your mix of video product makes such a difference. And ultimately, we're trying to sell the right mix of products to the consumer that drives the most cash flow per customer which doesn't necessarily drive the most margin, on a financial statement presentation sort of basis. So I would say on that one it's hard to speculate on where exactly margins would go as a percentage. But ultimately, we think that what we're doing by capturing additional share in the mobile market, using that and capturing additional share in the broadband market, which drives sort of the most cash flow off of our assets and in our other services as well, we think that that's the right thing to do to drive cash flow for the business and to continue to grow regardless of what the margin line ultimately shows.
Tom Rutledge: Yeah. We don't manage the margins. We managed to return on investment. And so we try to generate as much cash on each asset that we deploy as we can and has really nothing to do with margins when you have a mix of products with different kinds of margins in them. And so it's only in a static environment that a margin relative -- relative margin has any value as an analysis tool in our -- from our point of view.
Chris Winfrey: You can have a really high margin by not growing at all.
Tom Rutledge: Exactly.
Chris Winfrey: That hasn't always worked out for the people.
Jessica Reif Ehrlich: Okay. Thank you.
Tom Rutledge: Thanks, Jessica. Peter, we’ll take our next question, please.
Operator: And your next question will come from Doug Mitchelson with Credit Suisse. 
Doug Mitchelson: Thanks so much. I think a few more questions around broadband if you don't mind. The first is how many DSL customers are left in your footprint? And what do you think the broadband penetration is overall in your footprint? How much is left to go from just more folks getting broadband? And a couple of follow-ups.
Chris Winfrey: Hey, Doug, this is Chris. Look for competitive reasons I don't want to go deep into the remaining broadband penetration. People have statistics. They know what's out there. There's still a sizable opportunity for us to grow the market which Tom talked about. And in terms of DSL, it's declining but there's still a decent base. You really need to think about not just DSL but really the VDSL. That's really the new DSL. I talked a little bit about to the extent that fixed wireless access is building up potentially in the areas that we're moving into from a rural perspective, that's in the future DSL pile or parking lot of subscribers that we can go acquire. So it's DSL today, it's VDSL and it's inferior broadband product relationships that are getting created today that provides that fuel for growth for us in the future from a mix standpoint.
Doug Mitchelson: And Chris you mentioned I think relative to gross additions no difference in competitive fiber footprints versus non-competitive fiber footprints. Is it the same for churn as well? I just wanted to confirm that sort of year-over-year churn changes are no different in the two footprints.
Chris Winfrey: Yes we see churn down in both types of footprints at a similar amount and we see the almost – well not almost the exact same reduction in gross addition rate in both overbuild and non-overbuild footprint, which really completely validates that this isn't a competitive phenomenon that you see in the marketplace. It's the market activity a low-mover churn environment. And we're stimulating in a lot of different ways and some of that will have some success but the bigger driver will just be when the market starts to normalize. So yes, you understood it correctly.
Tom Rutledge: But another part of your question was what's the overall broadband penetration. And if you take all those smaller speeds slow speed products, it's in the mid-80s. And as I said earlier I think that goes up towards the vacancy rate.
Doug Mitchelson: Great. Thank you. And the last question I wanted to get to and I appreciate you taking the questions. Competitors have a variety of pricing and go-to-market strategies for broadband and mobile. And you actually have I think a difference yourself on how you would build a broadband customer and how you might build a wireless customer. I think wireless no contracts and no taxes or fees. How are you thinking about evolving your pricing strategies if at all either in response to competitors or because you're finding more optimal ways to serve your customers? 
Tom Rutledge: Like I was speaking about marketing earlier that's a form of price. We have lots of opportunity to mix and match various tactics to create value for customers perceived value. But fundamental value is where we're really trying to drive our product, which is having superior products at lower prices than our competitors by doing smart investments and good technologies that allow us to have a lower cost structure and have a lower cost per bit so to speak available to consumers both in the mobile space and in the broadband space and in the video space to the extent it's a separate business. And we can mix and match those value propositions in a variety of ways depending on what we need to do to move customer perceptions about where the true value is in the product set.
Doug Mitchelson: All right. Understood. Thank you, all.
Stefan Anninger: Thanks, Doug. Peter, we'll take our next question, please.
Operator: Your next question will come from Vijay Jayant with Evercore. Thanks.
Vijay Jayant: Thanks. I had one sort of big question about the video business. Obviously, your video losses seem to buck the trend relative to some of your peers. Can you just talk about how much flex is left on these lower-tier offers that you can still put out to customers? And any changes to sort of carriage minimums as you renegotiate programming deals? And then just for Jessica, you called out a lot of trends on the cost side. I just wanted to ask some questions on them. On bad debt are we back to the pre-pandemic levels? And then just on CapEx. Obviously, you talked about core for cable, should we assume RDOF CapEx sort of trend similar to this quarter in the low 200s a quarter just for modeling purposes? Thanks.
Tom Rutledge: Jessica, you want answer the bad debt question?
Jessica Fischer: Yeah. So if I start on the expense items Vijay, the bad debt we're not back to pre-pandemic levels. I don't expect us actually to go all the way back to pre-pandemic levels. The subsidies for broadband that are available in the market have eased the impact on consumers of sort of what happens in the economy and just made it easier to pay for services overall. And they are targeted, obviously, those consumers who are more prone to go non-pay in the first place. So non-pay churn overall continues to be at near-record lows. And I think that, right now we haven't seen yet sort of moves back towards pre-pandemic levels. On the RDOF side, I think that spend in the rural construction initiative overall, I wouldn't expect it to sort of trend at a very steady level over time. There will be opportunities that we have to accelerate spend at points in time and as we have those opportunities, because we think that continuing the build is important, we likely will take them. I think we've accelerated right now some of the kind of spend that I talked about happening in this quarter the design and make-ready type expenses. We're trying to pull those forward, so that we can be ready to deploy as quickly as possible sort of to deploy more going into next year. It's – that's not a change in guide sort of on where we think we're going for overall. But I think as I said, when we issued – when we talked about the $1 billion that we hoped to spend for the year, we could spend more or we could spend less than that. And it's all based on what we're able to do. We're going as fast as we can.
Tom Rutledge: And with regard to video, why we're somewhat of an outlier, we try hard for one thing. And again, we try to put value where we can for the consumer and think that, there's still opportunity in video. And one of the things that we had success with is, the creation of additional packaging and the mix of video products that we actually sell to consumers. And we're continuously improving the right structures around what we're able to sell. And it's been difficult because of the way historically video has been packaged in this very fat expensive bundle that's driven by sports rights costs. And as we've been able to get some of the content out of that, the ecosystem, and put into tiers and we're successfully selling those. And I think over time, we'll be able to build a very nice video business.
Vijay Jayant: Great. Thanks so much.
Stefan Anninger: Thanks Vijay. Peter, we’ll take our next question, please.
Operator: And your next question will come from Ben Swinburne with Morgan Stanley.
Ben Swinburne: Thanks. Good morning. Tom and Chris, I had a couple of related questions around competition in broadband. I think in -- I'm not telling you anything you don't know. I think investor sentiment on cable is probably as poor as it's been since like maybe the mid-2000s when you were getting overbuilt by Fios and U-verse, particularly at Cablevision. Tom, do you see corollaries today to that period when you were running Cablevision and Verizon was building its network across half the footprint and how you compete and sort of navigate that overbuild? And then, one thing that's happening, I'm sure you guys are aware, there's a lot of sort of Tier 2 fiber overbuilds happening around the country. I'm sure there's some in your footprint. They're not massive, but a lot of private equity funded builds. We usually don't see cable companies acquire infrastructure assets in their footprint, at least in the US. I'd just be curious if you think that's long term what happens here, or not, for reasons that might be obvious, because it would seem that there's a lot of capacity being built now on the wireline side. And there will need to be some rationalization, at least in some geographies long term. Thanks for the thoughts.
Tom Rutledge: All right. Well, in terms of sentiment, yes, there have been periods in my business career in cable where sentiment has gone up and down. And my sentiment remains the same. And I think, it's a great business and I think we have great opportunity to take and to continue to grow the business successfully. And so, when everybody's euphoric, it's probably odd. And when everybody is pessimistic, it's odd, and I'm unchanged. And my experiences with Cablevision and other assets, I managed Time Warner assets as well, prior to that, and have managed competition. My first job as a general manager in 1980, was an overbuild, actually. And so, I have lots of experience with it and lots of success in growing our businesses in that environment. So there's nothing unusual about what's going on now. And actually, from a competitive environment, it's pretty much unchanged, the pace of what's been going on, notwithstanding that there are some small builds going on elsewhere with private equity, as you say and that LEC expansion has continued. But it hasn't gone up in pace. So -- and we do quite well, regardless of whether we're in a physical competition with a wireline builder or whether we're in competition with satellites or whether we're in competition with a fixed wireless asset. We're pretty comfortable that we can continue to drive our value proposition and continue to grow our customer relationships. So my sentiment is unchanged. And are there opportunities for us to buy some infrastructure companies that would help us make our network better, because they happen to be in the right place? There probably is.
Chris Winfrey: Yes. I'd add to that Ben. You've seen it as well around for a while. The history of these tertiary overbuilders is pretty demonstrated as well. And my experience is they all start out with a rosy story and they get a lot of capital going in. And the early penetration is, because there's something new and environment starts to look good. And as long as you can sell fast enough you can do okay as a return. But the history is that they all go bankrupt and they end up having to be recapitalized. And so I think there's that repeat that takes place every so often in the marketplace. And so you see some of that. And our job is just put our head down and be competitive like we always have and go dig out customers and continue to develop products pricing and packaging that people can't replicate. So like Tom I'm about as optimistic as you could be about where the business continues to go. 
Ben Swinburne: Great. Thank you.
Tom Rutledge: I was optimistic last year and I was optimistic the year before that and still am.
Ben Swinburne: Yes. We're out of consensus now, Tom.
Tom Rutledge: Thanks Ben.
Ben Swinburne: Great. Thank you.
Stefan Anninger: Thanks Ben. Peter, we’ll take our last question, please.
Operator: Your last question will come from Michael Rollins with Citi. Your line is open.
Michael Rollins: Thanks, and good morning. Just to follow-up on a couple of things. First, just curious if you could share more of the timetable on the pace of broadband network upgrades for certain percentages of your coverage footprint, when you think of the opportunity to increase upload speeds as well as to expand download speeds? And then secondly, as you consider a number of factors, rate environment, stock price, the company's view of forward growth under what circumstances would you revise the current capital allocation plan and take net debt leverage targets higher or lower? Thanks.
Jessica Fischer: I guess I'll start on the leverage target question. If I think about where we are right now rates have obviously increased versus where they've been in the recent past. In historical context, I think that rates are still quite low. And so maybe not a little bit, but in line with where we'd expect them to be. In the -- from a growth perspective, as you just heard from Tom and Chris I think we continue to be quite optimistic about our growth opportunity. And on the sentiment side, our stock is trading at a multiple to free cash flow even that's just pretty low compared to where we've been. And so I think that we're happy with where we're sitting targeting the high end of our four to 4.5 times leverage ratio. We obviously continue to evaluate over time. It would be hard to sort of break out what scenario exactly would cause us to move off of that space. But I think that we're happy with where we are and we'll continue to target at that level. 
Tom Rutledge: And in terms of the pace of upgrades, we're actually doing multiple upgrades in various parts of the country right now. And we're pacing ourselves in such a way that we're learning how to do it really effectively. The interesting thing about our capacity to do these upgrades is that they're quite simple electronic upgrades. They're relatively inexpensive and we can do them rapidly across as much of our footprint as we need to do. And we're just actually putting ourselves in a position right now so that we can execute at the pace we need to execute given where the demand for that kind of capacity will exist. And we haven't really forecasted that publicly in terms of how fast we're going to do that. 
Stefan Anninger: Thanks, Mike. And Peter, we're going to pass it back to you. That concludes our call. Thank you very much.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.